Operator: Greetings, and welcome to the Gentherm 2015 Second Quarter and Six Months Results Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Mike Mason, Vice President of Investor Relations. Please go ahead Mr. Mason.
Mike Mason: Thanks very much. Good evening and thank you for joining us for the Gentherm incorporated 2015 second quarter conference call. Before we start the call, there are a few items I’d like to cover. In addition to disseminating through PR Newswire this afternoon’s news release announcing Gentherm’s results, an e-mail copy of the release was also sent to a number of conference call participants. If you need a copy of the news release, you may download a copy from either the Gentherm website at www.gentherm.com, or the Allen & Caron website at www.allencaron.com. Additionally, a replay of the conference call will be available via a link provided on the Events page of the Investors section of Gentherm’s website. During this conference call, representatives of the company may make forward-looking statements within the meaning of federal securities laws. These statements reflect current views with respect to future events and financial performance and actual results may materially differ. Please see the company’s SEC filings, including the latest 10-K and subsequent reports for discussion of various risks and uncertainties underlying such forward-looking statements. During the call, the company may discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in the company’s earnings release. On the call, we have from Gentherm, President and Chief Executive Officer, Mr. Dan Coker; and Chief Financial Officer, Mr. Barry Steele. Management will provide a review of the results, after which there’ll be a question-and-answer period. I would now like to turn the call over to Dan. Good evening, Dan.
Dan Coker: Good evening, Mike, and thanks very much for hosting and letting us in on the call. We would like to say that we appreciate everyone joining us at this new hour and assure you there is no hard feeling. We’re coming to you live at Munich, Germany where it’s a little bit after 11 PM today on our initial call here at new hour. We would also like to point out that we think the company had a very good second quarter. We were quite pleased with the results. All of our operations are doing very well and hitting our internal targets, particularly in local currency. As we go through the numbers, you’re going to see that we have had another record revenue quarter followed by another record bottom-line. So, we’re quite pleased with how things have been going and we also are very excited about some news that we received just this week about being named as the supplier of choice for zero production for a new product category, battering thermal management systems. This is a very exciting thing for our company. It’s something that stresses our strengths in technology, manufacturing, and our global presence in the auto industry. This will lead to some very significant new business for us and it’s the first step hopefully among many that will allow us to establish our strength and presence in thermoelectric technology, heating and cooling for automotive applications. Today we’re going to go through our normal procedures even though the hour is a bit later. We’re going to allow -- Barry is going to give us the financial details and then we’re going to open the floor for questions. Please stand-by for Mr. Barry Steele, CFO. Barry?
Barry Steele: Thanks, Dan. Good evening everyone. Once again an important driver of this year second quarter result is the impact of a significantly stronger U.S. dollar. We're a global company with operations in North America, Europe, Asia, and are exposed to currency translation in a number of ways like many other global companies. In general, the stronger U.S. dollar has reduced our reported product revenue, but has resulted in lower production and operating cost that have more than offset the unfavorable impact to revenue. Our earnings for the 2015 second quarter were $0.53 a share fully diluted basis. This represents an increase of $0.07 or 15% over the second quarter of 2014. This improvement comes from our continued product revenue growth, but also enhanced by the strong U.S. dollar impacts as I just mentioned. Our product revenues for the second quarter were $213 million, which represented an increase of more than $7 million or just under 4% over the second quarter 2014 product revenue. We achieved this despite the significant foreign currency translation headwind coming from our euro-denominated sales in Europe and from some other currencies in which we sell our product. And the second quarter currency exchange rate and the same as the prior year second quarter, our revenue for the current quarter would have been nearly $14 million higher and represented an increase of more than 10% over the prior year period. This increase is attributable to continue growth of our automotive products and it also included $4 million increase per Global Power Technologies, which represented a 54% increase when compared with the second quarter of 2014 for that company. By the way, we have now owned Global Power Technologies for five quarters, so this is our first period where we have been able to show the growth in that business on a post-acquisition basis. This quarter, our gross margin was 30.7%. This compares with a gross margin percentage of 29.5 for the prior year period, representing an increase of 1.2%. A number of favorable factors continue to -- contributed to this increase, including a favorable impact coming from the stronger dollar, most notably against Ukraine hryvnia and the Mexican peso. Other benefits include better coverage of fixed costs by the higher product revenue and the shifting mix in favorable in products favoring our Climate Control Seats. Our operating expenses were 39 million during the second quarter, representing an increase of 2.8 million, or 8% over the prior year period. About 600,000 of this increase was from our equity incentive plan, a part of which is accounted for on a mark-to-market basis of Gentherm common stock, which increased significantly during the quarter. The remaining increase reflects increased resources that are being directed to development of existing and new products and the related market activities of those new products, which we expect will continue to support our product revenue growth targets. One example of these new products is the battery thermal management system that reaching an important milestone, as Dan this past week when awarded a first-year production contract with the global automotive manufacturer. Our fourth quarter adjusted EBITDA was $32.8 million, which was $1.6 million or 5% higher than that of the prior year period. Turning now to the balance sheet, our cash now totaling $101.6 million at the end of the quarter increased by $16 million from the beginning of the year, and our total debt is now $85.6 million, which increased -- decreased; excuse me, by $5.2 million. These amounts both decreased partially from the decline in the euro exchange rate since we have some of our cash and some of our debt in the euro. This decrease of our cash balance along with cash used for capital expenditures totaling $22 million for the first six months was more than offset by $39.8 million in positive operating cash flow. We continue to have significant liquidity with approximately $85 million in available borrowed capacity and our revolving line of credits. That’s all I had Dan.
Dan Coker: All right. Thank you very much Barry. And I think that summarizes a business that is achieving all of its goals and objectives and we are continuing to see strength in all of our major markets and all of our segments. So, with that operator, we’d like to go ahead and open the floor for questions.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] The first question is from Mr. Steve Dyer, Craig-Hallum. Please go ahead sir.
Steve Dyer: Thank you good evening guys.
Dan Coker: Good evening Steve. How are you?
Steve Dyer: Good thanks. Couple of quick questions first on the battery thermal management product; congratulations on the win. Very promising. I notice model year 2017, but those tend to launch not necessarily in the third quarter, as they always used to. How should we think about revenue contribution from that both in timing and may be magnitude?
Dan Coker: Well, this is a product that is being designed into a category of vehicle. So, it will be launching -- as you say it won’t be launching on a exactly calendar segment, it will be launching as these vehicles come into the stream of this manufacturer. So, it’s a very critical part of this new vehicle. Each one of these vehicles with this equipment option will be equipped with one of our heating and cooling technological devices. So, you can look at this as when we model year 2017, it will start slow and it will build as each of these vehicle lines come onboard and/or probably take us a good six months to get the full production activity at through output.
Steve Dyer: And is this multiple models or just one?
Dan Coker: Its multiple models, it actually goes with a series of engine packages, each of which has a unique battery kit.
Steve Dyer: Okay. And just in terms of margins directionally is this sort of in line with corporate average of better or any color there would be great.
Dan Coker: It’s in line with corporate objectives.
Steve Dyer: Okay. And then just kind of digging into the currency piece I noticed in the release you talked about $4.3 million benefit from the stronger dollar. Is that just bearing cost of goods sold or is that sort of contemplating across OpEx and different expenses as well that you have there from an operating perspective?
Barry Steele: That number relates to those two specific currencies which are really affecting cost of sales.
Steve Dyer: Okay.
Barry Steele: We see increases in other parts of the P&L as well from other currencies. That said, there is also negative impacts in just [indiscernible] as it effects the denominator and the numerator in terms margins. So, it’s one piece.
Steve Dyer: Okay.
Barry Steele: With all the currency did help the profitability though.
Steve Dyer: The currency did help, right. Okay. Just hoping over to the bed, it’s been a while since there’s been roll aluminum it seems like it’s starting to pick up. How should we think about certain revenue contribution in the second half of the year? You talked about significant growth coming off a very low base, what do you have in there just maybe in terms of your expectations for the next six months?
Dan Coker: Yeah what we’ve got with the bed program is a bit of a reenergized project. What we had -- and what very limited activity that we saw in the first half was the final stages of what we call a slow introduction and couple of -- actually only in one test market. The test market came out very, very well and you’re going to see a steady escalation of the number of the stores that matters from offers this new at-most brand bed. We’re very excited about it and I think you’re going up and you’re correct, there's very pretty small base to deal with. But I think you're going to be able to see a couple of millions of dollars' worth of revenue in the second half from this new bed program. And I think that’s going to carry over into 2016, so I think we’re going to see some pretty good response. The market indications from the test market are very positive.
Steve Dyer: Best-selling product in the market, that’s what we’ve heard, so that’s great.
Dan Coker: Best-selling product, yes.
Steve Dyer: And then just last question and I’ll see the floor. This is the first time you guys have had been in a net cash positive position since before WET, does that sort of change your philosophy on whether it be a dividend or buyback or is there difference sort of your approach with the balance sheet that is really, really very strong right now?
Dan Coker: It doesn’t change our philosophy at all. We still believe very strongly in a -- what I would call a conservative balance sheet. We do not mind having cash on hand that will help us to take any particular strategic move we want to make. We have never really been big fans of dividends. And we have occasionally flexed buyback programs when we saw the opportunity. For us right now, the market is an extremely appealing place. We are constantly looking for opportunities to expand our business capabilities and having 100 million in cash or so is very help when you start thinking about acquisition or new entrances into new segments and new products. As you know, we also have been growing our business quite steadily. And we've been able to expand our manufacturing base worldwide including two new facilities that are coming online our Vietnam factory to help our Asian business and our new Macedonian plant will come online early next year to help offset some of the load we have on our European business. While the numbers may not look like it in U.S. dollars, our European business is actually doing quite well and we're achieving all of our operating goals in the local currency. If you took the currency impact out, our European business is growing quite nicely quarter-over-quarter and year-over-year. So, we are funding all of that growth activity internally without having to take on any additional heavy debt.
Steve Dyer: You mentioned acquisitions -- how would you sort of gauge your appetite for acquisitions? I mean, would you expect to do something in the next year or is it -- is it hit and miss?
Dan Coker: We -- I would describe our appetite for acquisitions of the proper types of companies and product technologies as high. We are looking and we are reviewing a number of companies each quarter and we have not found the perfect mix of things that we like to bring it to our company. Barry just mentioned the satisfaction that we have by seeing our Global Power Technologies Group performed very well for the quarter. This strong quarter now brings in up to par and up to where they wanted to be in the first half of the year and we think we’re going to finish the year strong with them and we think that's the type of company we like to invest in.
Steve Dyer: Got it. Okay. Thanks guys.
Operator: The next question is from Samik Chatterjee, JPMorgan. Please go ahead, sir.
Samik Chatterjee: Hi, Dan. Hi, Barry. So, first thing I wanted to hit upon was obviously the good news that you had on the battery thermal management contract. And maybe to the extent that you can, if you can share some more details on the contract you mentioned, it’s on some couple of models, is it like a hybrid that you're looking at or is it electric vehicle is the battery -- is the product that you developed, and can it be use on both like hybrids and electric vehicles? And I remember from our previous discussions you were in discussions with couple of automakers about this product, so maybe how close you are to getting a contract from automakers as well on this product?
Dan Coker: Certainly, Samik. The concept of the product is that the chemistry in batteries is very sensitive to heat exposure. Extreme heat will actually shorten the service life of the battery. The auto manufacturers and the battery manufacturers recognize this in a very painful way and some of the packaging that is required to be able to put these additional power sources into the vehicles are inconvenient. So, they have to put an AC/DC converter, which is generates a lot of heat and can sustain a lot of heat very close to a -- basically a box of chemistry that cannot sustain heat. So, the device is that we are designing and have designed and worked with a couple of customers with are thermoelectric driven and they allow us to take away the heat from the battery and protect the battery service life. So, it doesn’t really matter whether it’s a standard battery, a hybrid, monotype or what. It is a more electrified vehicle that has a need to have a battery pack protected from thermal exposure. And we are working with several other customers worldwide and we do anticipate that we will be receiving additional orders and we have no particular time schedule that we can announce as to when we feel we will be receiving these future orders. But we have been talking about the fact that this area, this new product category is a very significant piece of our future business and it's something that we are uniquely positioned because of our strengths in thermoelectric, because of our understanding of the automotive application and the environment that we have to operate in, to be able to take advantage of this growing new kind of exciting opportunity for us to be able to come in and help our customers manage their vehicle requirements and extend the service life of these very expensive battery packs.
Samik Chatterjee: Great. Thanks for that detail Dan. Maybe if I can follow-up on that, I'm just curious to know like were you competing with other technologies for this award win or were you sort of competing with other suppliers who were doing something similar or maybe again -- like climate control, see you are the only supplier that was sort of going out with this technology to the automaker?
Dan Coker: Well, the auto companies are very open-minded in terms of our problem their solution. So we were competing with lots of different technological approaches, when we presented our concept it was based upon thermal electrics. Other people presented programs based upon conventional compressed gas systems. There were also a few other people who were presenting either straight thermal electric or modified hybrid thermal electric systems as well. Our knowledge of thermal electrics and how to package them, manage them and manufacture devices with them was our strength and that allowed us to win a very sophisticated customers concept competition and then we were able to beat out all competitors once the concept had been determine to be a thermal electric device. We were the guy who won the contract based upon our strengths.
Samik Chatterjee: Got it. Got it. And finally just my last question here, just wanted to understand the moving pieces of your updates guidance, relative to the end of 1Q, I believe the euro sort of stabilized. So, may be just walk me through what really changed, there could be expectations in like April and early May and is it some way related to what you are seeing out of China in terms of lower production?
Dan Coker: Okay, that’s a whole lot of questions as your final question. Let’s take the China piece first. The Chinese market is in a bit of doldrums it is not growing way it has been in the past few years. For us the market is being depressed because the government is putting pressure on some areas and some segments of the business. Plus I believe that the local Chinese market is beginning to understand that the overheated housing market and the overheated stock market in China is something that can’t be depended on in the long-term. So, I believe that the appetite for new vehicles in China in particular is going to be well under control for a period of time as the economy adjusts for these new factors. I don’t know how long that’s going to be, but for us we see a definite indication that the Chinese market is softening. Asia however consists of several big pieces for us. Our Korean business is still doing very strong and happy business. Our Japanese business is still doing very well. So, overall, the Asian market is a little softer than we thought at the beginning of the year and we don’t see anything changing in that area during this year. In general, the currency situation which we will describe as a very strong and powerful dollar -- U.S. dollar is something that came on in the fourth quarter of 2014 and has consistently gotten actually stronger during the year. There are several social and economic issues that are driving that strength not limited to the Greek economic crisis and the political economic instability of some of the adventures of friends in Russia. There is also pressure around the world. Oil prices are at pretty much all-time lows and a lot of the economy is still adjusting to this factor. So, we believe that the currency exchange rates are going to continue to be dominated by the dollar and when we read that forward looking at where we think this might impact our year, we see a consistent steady strong dollar and that’s going to negatively impact our revenue at the topline. But as Barry has so eloquently explained, it also has a positive impact for us on some of our operating expense currencies such as Ukraine hryvnia and the Mexican pesos. So it's good news, bad news. And we are uniquely positioned. We are not dominated by either currency, but we do have impact and the strength of the dollar makes some of our operating cost positive. So, it impacts our bottom-line cross different table set. So, we see a very strong operating business that has a headwind on a conversion loss of the results of our international businesses back into the U.S. dollar. We are a U.S. dollar based company. And when these currency conversion losses come-in they are significant on our business.
Samik Chatterjee: Got it. Thanks for taking my questions, Dan. Thank you.
Dan Coker: No problem. Thanks a lot, Sam.
Operator: The next question is from Gary Prestopino, Barrington Research. Please go ahead, sir.
Gary Prestopino: Hello, everyone. Hey, what was the constant currency revenue growth in seat heater business, do you have that handy?
Barry Steele: It was up by 7%.
Gary Prestopino: Okay.
Dan Coker: Seat heater, no, that's not true.
Barry Steele: Still have the handy, we good in growing seat heaters despite two things. One of the euro currency and in fact of that particular product line more than any other. Because our products the heater and ventilator seat program which have been growing very nicely there is more from seat heater. So, there is a classification different, when look at year-over-year comparison.
Dan Coker: And if you look at the numbers, the units of seat heaters did go up but the revenue for seat heaters was one of the more impacted pieces of our business due to the strong.
Gary Prestopino: Okay. And then getting to this new piece of business which sounds very exciting that you won, is this a option that is going to be offered by the manufacturer, the choice of the consumer or is this something that is going to be part of the actual car in terms of that the manufacturers want to put in there to increase the battery life?
Dan Coker: It’s actually if you think about it in a very broad sense, it’s tied with a drivetrain package. So, it’s not necessarily an option. When this drivetrain is cohort, it requires a battery that will have our cooling device build into this the package. So, it’s not really an option.
Gary Prestopino: Okay. Do you have any idea what it would -- how much it increases the cost of the car consumer, Dan?
Dan Coker: I do not know how much it increases the cost of the car consumer. I know how much it cost the manufacturer to be able to offset the potential very large warranty cost, if these batteries don’t fulfill their full service life. So, that's really wasn’t the car company is trying to do. They are trying to make sure that their vehicles are -- which are famous for reliability, remained reliable once they are in the field.
Gary Prestopino: Okay. Thank you.
Dan Coker: All right. Thanks, Gary.
Operator: The next question is from Matt Koranda, Roth Capital. Please go ahead, sir.
Matt Koranda: Hey, good evening, guys. Thanks for taking my questions. And Just wanted to get this completely clear, the outlook here -- the entire trust of the lower 2015 outlook is driven by currency-only, is that correct?
Dan Coker: It's not driven by currency-only, but that the impact is very much, very heavily dominated by the currency the strong dollar is definitely the number to pretty impact on our revision of the guidance.
Matt Koranda: Okay, got it. And so maybe some residuals impact from maybe just the lower production rates in China as well as a small piece of -- I guess a small piece of impact in there?
Dan Coker: There are things like that in some -- I would describe more as mix issues that come and go.
Matt Koranda: Okay. Okay, got it. That's helpful. Just looking in the second half here, I would assume potentially and correct me if am wrong here. But I would assume we are going to see some similar headwinds to revenue in the base seat heater business. What steps into fill that void? Are we thinking at some combination of GPT and CCS, if you can just walk us through your assumptions there for kind of the second half?
Dan Coker: Well, we're not going to walk you through all of our assumptions. We will tell you that we looked at our business and we see a very good third quarter. And like many years, we look down and we see the fourth quarter and there are some areas in the fourth quarter that may or may not turn around and give us an indication of how strong the business going to be for the full complete year. We do believe we are going to see continue strength. We have product launches that are going very well, particularly in the heat cool and heat vent business as Barry as alluded to success in the heat vent business is a basically cannibalistic approach because every new seat heat and vent system that we sell we now loose a standard seat heater unit in the future. So, we expect to see this seat heater business change overtime as the heat cool and heat vent business expand and continuous to grow. We expect to see that activity continue in the second half of this year and you will seat heater business being replaced forever by the heat cool or heat vent business as that transition occurs.
Matt Koranda: Okay, great. That makes a lot of sense. One more on the second half here, in terms of the visibility you guys have in the platform launches, I know you guys don’t want to get into individual platform launches, but could you give us a sense from may be regions or geographies in which you guys are going to see some launches in the second half here is most of that going to be dominated by North America and the CCS category? Just a little color there would be great.
Dan Coker: I would say that it’s not going to be dominated by one particular region; we have some very good activity going in the North American business. I think you're going to see some renewed activity in the European marketplace which we believe is coming back. And we have some pretty good schedules going in Asia. So, it’s not particularly dominated by any regional aspect of the business.
Matt Koranda: Okay, great. Last one here from me. Does the recovery in Europe and an uptick in production there have any implications for gross margins in the second half of year? I mean they would be talking a different mix that could weigh on gross margins a bit or will that be offset by some other factors, just some commentary there would be great.
Dan Coker: I'd say that we have given our guidance on the gross margins and we do see some increased activity in Europe. And I don’t think that that would negatively impact our gross margin projections at all.
Matt Koranda: Okay, great. Thanks guys. I will jump back in queue.
Operator: Thank you, sir. [Operator Instructions] The next question is from Anthony Deem, KeyBanc. Please go ahead sir.
Anthony Deem: Good evening gentlemen.
Dan Coker: Good evening.
Anthony Deem: So not the revenue and the outlook, so it looks like revenue up 5% year-to-date, 6% FX headwinds, so maybe excluding M&A and the currency, 9% growth in the first half, a few 100 basis points of market growth there, so maybe new business growth above market more in the mid to high single-digits year-to-date. So, I'm just wondering as we look into the back half and over the next few years based on the visibility you have today, should we think about new business growth for Gentherm above underlying production in the mid to high single-digits or more so in a double-digit range?
Dan Coker: Yeah when we do the -- when we get a quick analysis of it, we see the impacted version of our growth at around 10% for the first half. When we look at it in units instead of it impacted are shadowed by the strength of the dollar, we still see very strong activity worldwide. So, when we look at it in the long term sense, we are going to obviously have to adjust our thinking in terms of what we -- currencies -- the currency realities are on a worldwide basis. But we still are going to be driving our business 10% to 15% year-over-year growth rates. These current short-term headwinds that we are seeing in the currency are going to force us to have to really redouble our efforts in some areas to be able to get this growth. We are not able to offset this type of very rapid swings in the currency exchanges. It takes a bit of time in our core businesses to be able to realign our position ourselves. So, we believe that you're going to see double digit growth out of the company over and above the normal 2% to 3% or 4% growth that we’ve been seeing in the auto industry worldwide/
Anthony Deem: Okay. Appreciate that. And then just lastly for me, on the new battery thermal management system does that business come online at similar corporate average margins or maybe above? And also I guess, what is your longer-term expectation for that business? Where do you see the market opportunity as for that battery business? Is there strong interest in customers?
Dan Coker: Yeah. We -- there is definitely a strong need for this type of technology in the marketplace. It's something that we see as a very dramatic growth area in the auto business worldwide as more and more vehicles on a global basis are becoming electrified. Companies are having to pay more and attention to the types of technologies they deploy to be able to maintain their vehicles reliability. The reason that these technologies are coming on board is to extend the service life of batteries in a very, very difficult environment. That's why we are in this segment -- this business. So, we believe that this segment is going to be growing very rapidly. We also see ourselves as being very uniquely qualified to attack a very large portion of this market place because of our skills in thermal electric devices and in packaging and understanding auto environment. We have electronics skills. We have manufacturing skills. And we're positioned globally to be able to take care of very large chunks of new business in this very important new product segment. And the gross margins that we anticipate for this product line are very much in line with our corporate goals and averages. We might not have particularly announced what the gross margin is on any particular individual product or program.
Anthony Deem: Thank you very much.
Dan Coker: Thanks.
Operator: This concludes the questions-and-answer session. I'll turn the conference back over to Mr. Mason. Please go ahead, sir.
Dan Coker: Actually, you’re not turning it over to Mr. Mason, you’re turning it over to Mr. Coker, but that will be just fine. We wanted to summarize today’s call and the operations that we’ve seen for the quarter and for the half, has been a very strong success for our business. We're quite pleased with the results that we’re being getting into the marketplace; the operations for us in almost every segment across the Board are performing at or above expectations. We were very delighted to be able to be named as the supplier of choice for the new battery thermal management project that we've mentioned. This one program alone is a significant piece of business and will be the opening for us to be able to step in and deal with other opportunities such as this in this new very important fast-growing segment. This has been a tough year on one aspect in terms of the impact of the strong dollar, but we think our teams are responding well to this challenge. Our businesses are being run very effectively, very efficiently and you will see us continue to be strong on the bottom line and bottom line profit returning is what we’re trying to achieve. So, I'd like to thank everybody for joining in this rather unusual hour for us. This is going to be our regular pattern as we go forward, trying to announce our release earnings after the close of business, and then offering the conference call to review the call -- sorry, review the release itself. So, we thank everybody and we ask you to join us again in 90 days, as we review what we hope to be a very good third quarter. Thank you, operator.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. You may disconnect your lines.